Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud and I welcome you to the third quarter of fiscal year 2023 Results Conference Call. First of all, I would like to remind you that both audio and slide show may be accessed through company's Investor Relations website at www.cresud.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. After management remarks, there will be a question-and-answer session for analyst and investors. If you want to make a question, please click the button labeled to raise hand or use the chat. Before we begin, I would like to remind you that this call is being recorded. All the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO. Please go ahead sir.
Alejandro Elsztain: Thank you very much, Santi. We are beginning now the third quarter results and we can see in the page number two that the company's record planted area in the region combining the four countries, combining between the ones that we own, the ones that we lease and the ones that we lease to third-party tools, we have like 28,000 by 10% of the funds that we rent generally with the mission of bringing clients, giving some stability at the beginning of development of farms and bringing clients to the selling to the real estate part of the company. Related to the campaign progress, we have this year more mixed conditions than last year. Last year was a big increase on the prices and some good deals. But this year, there is prices we could say that they are sustained and all of them soybean, corn and some of the sugar cane. But the high cost pressure that we suffer from the very beginning, mainly explained by the fertilizers and some other input costs, make margins to decrease. And finally, the adverse climate conditions is affecting the yields on the region, mainly Argentina, the one more affected is Argentina for sure and we're going to show you a little later. This separate growth in Argentina, biggest of the -- I think from my history more than 30 years of Cresud, but it's really to see something like this is long term in Argentina is in part in the crop yields, but not only winter crops, regarding with the wheat and barley later came to soybeans and corn, affecting a lot the yields of the country and some of Cresud. In the case of Argentina, there is a recovery that is going to come in the future, because there's a new announcement of the government about the new soybean, the third soybean of the country in a different price, so some of the drought effect on soybeans is going to be compensated because of that effect will be reflected on the third -- fourth, not in this one. This one is not reflecting, but in the fourth, will be reflected the detail of the soybean, but with the new price because of the new effects. Related to BrasilAgro, there is lower productive too, but some farmland this year probably will be very relevant in farmland sales, mainly in Brazil, some in Paraguay too and one in Argentina and this going to come, so we are expecting -- so we have a lot of activity in the farmland sales and this is -- we are going to show you one big transaction that it's not reflecting on today's balance sheet that Matías will explain, so to be in the fourth quarter. Related to the investment in IRSA, we had an increase of 3% of the shares of IRSA. And in IRSA, we are recovering a lot of the EBITDA of the past and leveraging product portfolio of the company. We received a huge amount of dividends from IRSA, from BrasilAgro and from  $125 million. And in the case of dividends, we have to pay again, recently last week and this week we are paying 6% dividend yield and on top of that, we were sharing to the shareholders, 2.2% of the capital stock on shares to distributions. Related to prices, we can see that after the pandemic there was a big decrease in the price achieving more than $600 per ton. But later this price went to the $500 level and we are seeing that price decrease on the future too. So some less pressure on the prices of commodities sugarcane, the soybeans and corn. We are in this  area 284 between the four countries 2% increase last year comparison than being made soybean, corn and sugarcane the three main between the four countries. About drought of Argentina we can see in this graph the -- where Pergamino district shows Pergamino is in the middle of corn bed of Argentina probably is one of the more famous areas of the corn bed of Argentina and the drought made to have a rain in the total year of 336 millimeters comparing to the normality that Argentina has many regions of a 1000. So the proportion of this drought affected so big proportion of Argentina and mainly the corn bed to the country a big decrease on the yields. Here we can see in the other graph on the right the production current forecast where Argentina in soybean is expecting because really it's not finished this is under process today, the harvesting today on the farms. Soyabeans the country is expecting 47% drop comparing to the -- compares a yield that was done at the balance region of the company. So almost half of what Argentina was expecting but there are some analysts talking about more than half growth for soybeans in Argentina. In the case of corn, the expectation is 28% below and in the wheat that it was finished in December last year was 40%. Here we are seeing some of the forecast of Cresud. And here we can see on the map where the farms of Cresud are, the globes are old farms and the small points are the leased farms. So we can see that our areas are not exactly the corn bed that we have the -- this year  province that represents almost one-third of Cresud really explain a big recovery of the --not lost -- not the recovery, but our loss in service is the 26 compared to the 47. So this represents the difference of areas that Cresud the drought that it's -- not raining as normal, but really not so dramatic like the corn bed of Argentina. So the map of Argentina shows in red the bad areas field as the drought is not finished. It's not done. And some effects of these are probably coming to wheat. If the rain doesn't come to the country, wheat is going to be effected for next year too. So really the situation of farmers of the country was very bad. And this year Argentina -- in the past Argentina drought the prices recovered a lot. But this year because of retail yield mainly explained by Brazil made that the loss of the 25 million tonnes of Argentina were more than compensated by the yields of Brazil that grew like 30 million tonnes year-to-year. So really there was not any main effect on prices. So the farmer is coming because the government helped in some of the situation of farmers in the country. If you move to the next page on page number 5, we can see that the harvest progress in soybeans Argentina is close to 42%. Bolivia is done. Brazil is close to finish. And Paraguay is zero. Paraguay is going to begin this day. So the total region is 71. Then corn -- majority of the corn is SAFRINHA Brazil or  Argentina the combination of the two makes like 7% advanced area for harvesting of corn for the region. So all are projections, but we are optimistic that the effect of the bad climate of the region in case of major for Argentina affected, but not so much like the rest of the country. We can now move to page number 6. And we can see here we are expecting like a drop year-to-year of 4% in yields. So the 798,000 tonnes to the 765,000 tonnes for the whole region. So that the main effect is Argentina but the rest is not so affected. So the total crop is not so ready. But the operational margins are there worst than last year because what I explained at the beginning the effect of higher cost, the prices last year made a very big rebound and really there was a big effect of the increase in the prices. This year is not the opposite. It's even or below the price of the budget. So really the effect of prices of this year is not helping like last year so not yields, no prices, and costs going higher. So, that is why today nine months reflecting some of those effects is mainly comparing last year so different. Sugarcane is a little lower, but not so important. We can see the yields on the region that they are stable when we compare the corn at 5.6 tonnes or soybeans at 2.6 tonnes. So, really the effect of having done in the region made us more stable than having only in one region. In the meat, nothing is special to compare, 78,000 heads of cattle, 7 million kilo tonnes of meat in the company. About real estate, up to now the explanation of the nine months, there were two small farms, one in Paraguay and one in Brazil. There is a subsequent sale that is not reflected on balance sheet that BrasilAgro made the relevant fact later that was done I think in April. And here there was a big sale in a total valuation of BRL409 million and comparing to the purchase price and CapEx of close to BRL60 million, so really a big gain that is going to come on the fourth quarter. We did in two parcels, one was the 330 hectares of total area of and the other of 500 hectares of total -- 2000 hectares of total area. The combination of the two made a total sale of BRL407 million, really a big gain and it's going to be -- it's like BRL260 million to BRL270 million that are going to come on the fourth quarter. So, related to the operational business, there are two effects, real estate in the fourth -- a lot of activity having the operational like the soybean price is going to come on the fourth quarter. If we move now to the page of our service part, not the operation and not the real estate. Service area, the two companies that we run  is almost 50% of the shares. We see the evolution -- long-term evolution of traded tonnes of this company that last year in a normal campaign not very good, but normal company, did 6.6 million tonnes. And last year the EBITDA of $28 million. This year because of drought, the campaign of Argentina is much lower. So, the company is only intending to increase the market share to Argentina, but not increasing the tonnes comparing year-to-year because Argentina will be close to half of the campaign of compared last year. So, the company is very positive. It's going to keep making a lot of money, having lower volume because Argentina evolution. And this year did another bond -- 20 million new bonds again at zero interest rate for three years. This company is growing not only in Argentina, giving service to farmers, in inputs, in outputs, in consultancy, and in futures and options, but now, it's doing this process in Brazil too through a company that is launched recently called . Now, related to our profile residents close to 18%. This is a marketplace for agriculture. The company is stable in revenues. This year is not growing because of the effect of drought in Argentina and this effect is having the company and the decision of the company in this environment to the companies, the high-tech companies is to decrease the -- to keep the sales stable and to look for the breakeven. The company is a mission, decrease some of the number of employees to have this situation understanding the change on the timing, on the -- we're seeing -- thinking that this is going to happen. The marketplace for is coming probably these delays a little. So, we have decided to burn the money or the company to here to arrive to the breakeven point with the cash recovery raised in the past. And these are the maps where our locations are in South America. This is more big marketplace of our agriculture products. Now, I will introduce Mr. Matías Gaivironsky that will speaking about. 
Matías Gaivironsky: Thank you, Alejandro. Good afternoon everybody. Going to the results of IRSA first. As Alejandro mentioned, result during the quarter increased by 3% stake in IRSA. So, today we control IRSA with 56.8% of the shares. IRSA has during the quarter a very good results. The nine-month period we saw an excellent performance in the operational and the financial results. Tenant sales are growing higher occupancy. IRSA reached historical levels, again after the pandemic that went down to level of 89% now it's again a level of 97%. The offices as well 100% occupancy in the AAA buildings. We finished the occupation of the Della Paolera building. We also sold a lot. We sold seven floors of the Della Paolera building at very good prices and there was some revaluation of the remaining square meters of the building because the price now is higher than what used to be in our books. Hotels as well are performing very, very well. There is a huge recovery after the pandemic with probably record EBITDA on our portfolio. Very good occupancy. IRSA keep the deleveraging during the three months period. Remember that was a big challenge of cancellation of pay during March. IRSA paid 100% of the debt. So now, there is no more challenges regarding the central bank regulation. And also IRSA paid a very high dividend during the last month or the last day was a 13% dividend yield that Cresud collect part of that. If we saw the graph, we can see the EBITDA the last 12 months EBITDA of the Rental segment increasing and surpassing pre-pandemic levels reaching $162 million. So if you move to our financial results, first, it's important to understand on the macro side what happened with the different drivers FX and the inflation generate important results in our results. So first of all to understand that the inflation was 74% during the nine months period against a devaluation on the official exchange rate of 67% and on the blue chips of 59%. That means that in real terms, we have an appreciation of the peso the official exchange rate of 4% and in the calculation of the blue chips swap 8%. That will have different impacts in our results. So going to Page 12. On the operational side, as Alejandro mentioned, this is a very challenging year to compare one year to the other. Now, the last year was a record campaign excellent results in Brazil and Argentina, excellent production prices costs that were much lower than this year. And this year, when we compare we have many effects on the negative side that the draught in Argentina, higher cost in Brazil, lower production that is generating that the comparison you can see this drop of 89%. Here we don't have many results that will be recognized in the next quarter would have a different exchange rate for our production in Argentina for the soybean that in March we haven't. So it's not recognized yet. The farm that we sold in Brazil that is not recognized in this 9-month period will be recognized next quarter. So probably, this picture is not the best picture to analyze what will be our results in the 12-month period. But of course, this year is worse than the previous one. In terms of our forecast and our budget, we are more or less in line on what we forecast this year. But of course, compared with the previous year is lower. If we go to the next page, on the Operating income including the IRSA, the previous one was just the farming activity including IRSA, we see a drop of 59.2% compared with the previous year, mostly in the agricultural part better results than the previous year. Other important driver of line in our balance sheet is the change in the fair value of the investment properties is 100% almost all related to IRSA that we -- a loss of ARS 34.8 billion same again loss as well in last year of ARS 20 million, this is more related to what I said at the beginning the drivers between inflation and devaluation in dollar terms, the investment properties are increasing slightly. Shopping malls remain stable. The offices will increase a little because of the revaluation of the  building and the land reserves remain stable in dollar terms. We convert that in real pesos that generate that loss. Regarding the net financial results, we can see a gain of ARS16.4 billion was a higher gain last year of ARS34.5 billion. If you see in the table below, you can see in the first line, the net FX results that last year was a gain of ARS40 million. That is related to the appreciation of the peso. We convert the dollar denominated debt into pesos, in real pesos and the appreciation of the peso generate this gain. This year is lower than the previous year. But again in the net interest, we can see an increase -- slight increase in the net interest this year compared with the previous one. This is more related to the composition of the debt, Cresud has a little more debt in peso terms that generates an accrual of higher interest in that line, but then there is compensated because of the devaluation and the dilution of the peso debt is recognized in the first line in the net final FX results. So just trying to understand the net income all these drivers has some effect on the net income line. But finally we posted a gain of ARS36 billion, attributable to a controlling interest is ARS20.4 billion, compared with again last year of $64.7 billion and controlling interest of ARS40 billion. If we see the evolution of our debt, during February we canceled the remaining part of the bond that we have to refinance because of the central bank regulations. So we canceled that. Also in April, we issued two new notes; one, a dollar link that we issued $30 million at an interest rate of zero that will expire in the next three years. And also we raised money in pesos terms for 1.5 years, we raised $20 million plus three . One good news here is the credit rating upgrade fix increased our rating from AA to AA+. Regarding the dividend, we announced and paid a dividend for ARS9.5 billion that is ARS16.52 per share or ARS165.2 per ADR. This is 6% annual . We already paid in pesos and we are in the process to pay to our ADR holders in dollars. Also we decided to distribute the shares that we bought from our buyback program that we at the same time not the dividend we distributed those shares. So that was already distributed. Regarding our buyback program, we decided to extend the timing for our program. The original expiration was this week and we decided to extend that out to -- for the next 180 days. From our program, we already bought almost 80%, so there is a remaining of 20% more or less ARS800 million. And we also adjusted the price in pesos terms to 425 and in dollars still $8.5 per ADR. I think with this we finished the formal presentation. Now we open the line to receive your questions.
Alejandro Elsztain: This is probably when we show that those are real dollars, when we show the price of Argentina land of around $14000 or $15000. The hectares is always on a real dollar but its farmland in Argentina. That is the corn belts. Cresud owns farms across Argentina and most of marginal areas in the north. So in general marginal areas follows the corn belt in terms of prices – real dollars.
Matías Gaivironsky: Yes, like all real estate and farming real estate in Argentina, everything is quote in real dollars than pesos but we always fix prices thinking in real dollars.
Santiago Donato: And he asked as well, also your farmland sales were in Brazil, if you can indicate an outlook for Argentina farmland prices and possible sales in the near future.
Alejandro Elsztain: Yes there are some possibilities of transactions in Argentina. Prices are not decreasing so much, as we would be thinking because of the exchange rate difference between the board and the official. Really from the top prices of the corn belts in the few years ago that was at $18,000, today you're talking about $14000, $15000. So there was a drop to the peak. What happened in the last of Argentina was didn't follow the trends that US and Brazil and other areas of the world increased dramatically this year. So – but still there are not a big drop to the highest cost prices a few years ago. And the – what we expect is probably next government. I'm not sure what will be the election or who will be the candidate, but how will be the measures related to dollars and taxes on exports but we are expecting some decrease on the gap of the $2 and maybe the decrease on time in the taxes on exports too. We expect as farmers, this is different to the farmers of US and Brazil are really damaging a lot farmers of Argentina. And so we are expecting that to be an decrease on time. And if that is the case, price of the land of Argentina will grow a lot because today they have been prices of Argentina corn belt to the other areas we provide the highest of the history.
Santiago Donato: Thank you. We have next question come from Shores Wurman . When can ADR investors expect to receive the cash and stock dividend? 
Matías Gaivironsky: Well, we already are working with Bank of New York as a trustee of our ADR program. We hope, at least that will take 10 days. So since Bank of New York fixed the record day, the payment will be 10 days later. So we expect that the Bank of New York will fix the date probably next week. So we are working with them and the idea is to distribute as fast as possible.
Santiago Donato: There is a new question on forecast for rainings in the next coming 12 months and the next campaign, what we can expect?
Alejandro Elsztain: Up to now every specialist on climate was speaking about the changing from Niña to Niño and that was represented in February, the rain would come and some came but really not the one we expected. So there is this I would say delay of the change from the Niña to Niño. If Niño comes that will make the normalization of rates in Argentina that have three years of very bad climate, this year is worse but the three were bad. So -- and if Niño comes, it's going to have more than 1,000 in the corn grains of Argentina. That's what we are expecting. So -- but today, it's not. And today, what I said at the beginning, the wheat, if it doesn't rain the next 30 days is going to be strongly affected. So we are waiting for those rains.
Santiago Donato: There is one more from George Foreman , if there is plans on listing few brokerage company anytime on an exchange?
Alejandro Elsztain: We don't know. Really this company today has plenty of cash and is making really big benefits and giving good dividends. Maybe with this company will need some cash or some more if the strategy we are beginning to think and developing in Brazil will need. So maybe yes. For Argentina, I would say no, but mainly for expansion of the strategy for Brazil this company could be thinking on raising capital, because the size and the working capital the country in Brazil needs on that business probably will need that.
Santiago Donato:  Here new one, are you seeing any reduction in fertilizer costs?
Alejandro Elsztain: Yes, it was a big drop comparing last year to this year, like 30% of drop in prices comparing year-to-year in dollar terms. So that is helping some on the margins for next campaign, because drop of prices, but drop of input is going to have, I would say like same margin as the last year forecast -- last year budget. So really there is the impact of these inputs is going to be for the next campaign. The one that is probably more affected because of use of fertilizers is Brazil more than Argentina. Really cost of input is going down because of margins farms. This is the case.
Santiago Donato: Well, we can conclude the conversation and the presentation. We thank you all. And I will turn back to Alejandro Elsztain, our CEO for his closing remarks.
Alejandro Elsztain: We are finishing the campaign. This is -- next quarter will be the last one. We spoke about the operational. I think the results finally between the combinations of our three steps, in the agriculture that they are Real Estate, Operational, Services is going to be close to budget. Really we are lucky compared to the situation of other farmers of the region. So we are expecting next campaign with this condition of a little, lower prices for the next campaign, but a lot of liquidity in the Real Estate not in Argentina, because of the situation of Argentina, but the rest of the region is really much more liquid. So we could be making more result in that portion of the company. So we are very optimistic in agriculture in the region. Brazil intends to be growing from the 280,000 hectares to keep growing, its service in the region. So thank you very much. And we see you next quarter in the final results.